Operator: Greetings and welcome to the Rollins, Inc. Fourth Quarter 2020 Earnings Conference Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Joe Calabrese. You may begin.
Joe Calabrese: However, if anyone is missing a copy and would like to receive one, please contact our office at 212-827-3746 and we will send you a release and make sure you are on the company’s distribution list. There will be a replay of the call, which will begin 1 hour after the call and run for 1 week. The replay can be accessed by dialing 844-512-2921, with the passcode 13714448. Additionally, the call is being webcast at www.viavid.com and a replay will be available for 90 days. On the line with me today and presenting are Gary Rollins, Rollins’ Chairman and Chief Executive Officer; John Wilson, Rollins’ Vice Chairman; Jerry Gahlhoff Jr., President, Chief Operating Officer; Eddie Northen, Senior Vice President, Chief Financial Officer and Treasurer; Julie Bimmerman, Vice President, Finance and Investor Relations. Management will make some opening remarks and we will then open the line for your questions. Gary, would you like to begin?
Gary Rollins: Yes, Joe. Thank you and good morning. We appreciate all of you joining us for our fourth quarter and year end 2020 conference call. Julie will read our forward-looking statement and disclaimer and then we will begin.
Julie Bimmerman: Our earnings release discusses our business outlook and contains certain forward-looking statements. These particular forward-looking statements and all other statements that have been made on this call, excluding historical facts, are subject to a number of risks and uncertainties, and actual risks may differ materially from any statement we make today. Please refer to today’s press release and our SEC filing, including the Risk Factors section of our Form 10-K for the year ended December 31, 2019 for more information, and the risk factors that could cause actual results to differ.
Gary Rollins: Thank you, Julie. While we faced unprecedented obstacles this past year, I’m pleased to report that Rollins’ performance in 2020 is marked by continued growth and solid financials. Rollins’ results are a testament to the strength of our business, our exceptional focus on customer service and the commitment to program execution by our people. We are especially proud of our employees’ dedication and adaptability through this difficult year. They have continued to provide vital services to our customers through very challenging situations, enabling the continuation of our long-term success. Our people are truly our most important asset as they protect our customers’ property, health and peace of mind. We are extremely appreciative of their efforts during this unprecedented time. At Rollins, we also have an unwavering commitment to keeping our employees safe. This has never been more important than this past year, where we faced the threat of the COVID-19 virus. New stringent safety protocols were promptly created and even today remain a priority, while we continue to have employee health risk from the virus. As a result of working safely through the pandemic, we’ve also benefited from the trust we have built with our customers. This was confirmed by the strong performance that we had in our residential services segment. Looking ahead, we remain confident in our business and the importance of the service we provided. Before I wrap up, on behalf of the entire team at Rollins, I’d like to acknowledge and thank our two retiring directors, Jimmy Williams, he joined the Board in 1978 and Bill Dismuke, who joined the Board in 1984. Their insightful guidance and service to the company has been invaluable and we wish them well in their retirement. Let me now turn the call over to John who will provide an overview of the quarter and the year. John?
John Wilson: Thank you, Gary. Turning to our performance, we are pleased with our fourth quarter results, which capped off a great year in 2020. Revenue for the quarter grew 6% to $536.3 million compared to $506 million for the same quarter in 2019. Net income rose to $62.6 million or $0.13 per diluted share compared to $50.8 million or $0.10 per diluted share for the fourth quarter last year. Revenue for the full year totaled $2.161 billion, an increase of 7.2% compared to $2.015 billion for 2019. Net income for the full year increased to $260.8 million or $0.53 per diluted share compared to $203.3 million or $0.41 per diluted share for the same period last year. Eddie will review the GAAP and non-GAAP results shortly as there are two adjustments impacting our financials. Overall, our team members in the various businesses continue to perform well. We experienced strong growth in residential pest control during the fourth quarter, increasing 11%, while termite and ancillary services grew 8.7%. Year-over-year, commercial revenue was down as commercial pest control was negatively impacted by the COVID virus due to varying levels of government-driven shutdowns. However, we have continued to narrow the revenue shortfall gap each month since April with fourth quarter commercial growth only 0.6% below last year. We are pleased with the steady progress we have achieved under these circumstances. I am very proud of our team and the commitment they show each day to take care of our customers. Their dedication and determination were very evident this year as they added many thousands of customers during a challenging time. We believe our fourth quarter and 2020 full year results reflect both the resilience of our company and our people. I would now like to take a moment to talk about Rollins’ ESG or Environmental, Social and Governance commitment. We hold ourselves accountable to a high standard of sustainability, social responsibility and good corporate governance. ESG is not just an important part of our business it’s become part of our culture. We also have launched a new Diversity, Equity and Inclusion or DEI initiative, internally focused on advancing a culture of inclusion where all employees feel respected and treated fairly with an equitable opportunity to excel. This effort is sponsored by Freeman Elliott, our Orkin U.S. President. Freeman is working in close partnership with the newly formed Advisory Council made up of employees from across all brands to drive DEI improvements. The council is actively reviewing all policies, conducting campaign awareness, creating listening forums and providing training with much more to come. We are committed to this vision in the journey we will all take together. I am also pleased to note that we have further strengthened our Board of Directors, adding to an already experienced and strong Board with the additions of Susan Bell, Patrick Gunning and Jerry Nix. As background, both Susan Bell and Patrick Gunning have recently retired from distinguished careers in public accounting, 36 and 39 years respectively. Both are qualified as financial experts for U.S. Securities and Exchange Commission public companies. Jerry Nix comes to our Board as the Former Vice Chairman and Chief Financial Officer of Genuine Parts Company. They are all seasoned executives and accomplished leaders and their diverse experience will be invaluable to help shape Rollins’ future. Now, let me turn the call over to Jerry who will provide more details on our business.
Jerry Gahlhoff: Thanks, John and good morning everybody. Although I have been with Rollins Company since 1999 and have had the opportunity over the years to interact with many of the investors on today’s call, this is my first time speaking with you as Chief Operating Officer. I do so with a strong sense of responsibility to our company, our employees, our customers and our shareholders. I am excited to be here. I would also like to thank all of our colleagues for the smooth transition over the last few months and look forward to enhancing shareholder value through the execution of our business strategy. During the fourth quarter, we continued to expand the company’s presence, not only in the U.S., but yet globally as well. We added 10 strategic acquisitions within the United States, Canada, Australia, United Kingdom and Singapore. We are very pleased to welcome these companies and their teams to the Rollins family of brands, and as we enter 2021, we expect that strategic acquisitions will continue to be an important component in our initiatives to further grow our business. This past week, we completed our first virtual companywide leadership meeting with all our top leaders across all our global business units. While we missed being in the same room together, we still found an opportunity to gather on Zoom for productive discussions on items that will be critical for our success in 2021. As an example, one focus area we discussed that has been significant to our growth is mosquito service. This continues to be an excellent add-on service for many customers and has increased greater than 30% over the prior year. We know this will continue to be a great opportunity in 2021. As we have discussed in the past, mosquito-borne diseases continue to be an increasing threat around the world and as family self quarantine, many are spending more time in their yards, recognizing the need for mosquito control. The overall emphasis of our leadership meeting was about executing our plans in 2021, and I have great confidence in our leadership team to make this happen. Now, let me turn the call over to Eddie to discuss our financials.
Eddie Northen: Thank you, Jerry. The obstacles that impacted Q2 and Q3 continue to decrease throughout the quarter and our operations and non-operations groups continue to make tremendous adjustments to the new lives that we are all leading. We are utilizing mostly remote workforces, which has forced us to continue to evaluate processes and become more efficient. These changes have made us a better company. We are also thankful that we have invested in technology the way that we have over the last 4 to 5 years. Dealing with the increased demand on the residential side of our business and the disruption aroused on the commercial side of our business would have been an extreme challenge to handle without these tools in place. For the quarter, our residential pest control and termite service lines showed growth and keys to the quarter included a fourth year in a row of metric improvement through our routing and scheduling initiatives, safety improvement that translated to expense reductions and successful continued cost containment implemented to drive margin improvement year-over-year. As John referenced, I will be reporting both GAAP financials for the quarter and GAAP and non-GAAP financials for the full year that were impacted by accelerated investing of shares in the third quarter of this year, and the impact of the pension plan moving off of our Rollins’ books in 2019. Looking at the numbers, the fourth quarter revenues of $536.3 million was an increase of 6% over the prior year’s fourth quarter revenue of $506 million. Our income before income taxes was $86.9 million or 28.7% above 2019. Net income was $62.6 million, up 23.4% compared to 2019. Our EPS were $0.13 per diluted share. Looking at the full year, revenue of $2.161 billion was an increase of 7.2% over the prior year’s revenue of $2.015 billion. Our GAAP income before taxes was $354.7 million or 35.8% above 2019. Our net income was $260.8 million, up 28.3% compared to 2019. Our GAAP earnings per share were $0.53 per diluted share. For the full year, looking at our non-GAAP financials, taking into account the accelerated stock vesting that occurred in the third quarter of this year and the pension plan moving off of our books in 2019, income before taxes was $361.4 million and was up 16.2% and net income was $267.5 million this year compared to $229.9 million in 2019, a 16.3% increase, and our non-GAAP EPS were $0.54 compared to $0.47, which is a 14.9% improvement. Jerry mentioned our 2021 leadership meeting, and while our gathering online instead of in-person looked different than the previous years, our focus on messaging and alignment for the year to come continue to be the same. One of the sessions over the three days was entitled, items to make you successful in 2021. During this segment, we discussed several different topics that will impact our journey of sustainability through Environmental, Social and Governance, or ESG. The topics were all focused on actionable items that each and every operation can impact as we move forward in the new year. In depth, we discussed our routing and scheduling and how it saves miles, improves margin and helps to reduce our carbon footprint. Next, we discussed our launch of the Diversity, Equity and Inclusion or DEI initiative that John mentioned earlier. Freeman did an excellent job sharing how a more diverse group will help lead our decision-making in the future. And then, Jerry spent time and discussed our safety journey and how this positively impacts our workforce and our financial performance. The advantage to hosting these sessions online, and yes, I am looking for silver linings here, is that we get a chance to read comments in real-time as the speaker is leading the session. There was a very positive energy around all of these topics and others that will support our sustainability for years to come. Let’s take a look through the Rollins revenue by service line for the fourth quarter. Our total revenue increase of 6% included 1.5% from acquisitions and the remaining 4.5% was from pricing and new customer growth. In total, residential pest control, which made up 45% of our revenue, was up 11%, commercial, excluding fumigation, commercial pest control, which made up 34% of our revenue was down five-tenth of a percent and termite and ancillary services, which made up approximately 19% of our revenue, was up 8.7%. One item of note is that our wildlife service grew at their fastest rate since Q1 of 2018. Again, total revenue less acquisition was up 4.5% and from that residential was up 9.3%, commercial ex-fumigation decreased 2.4%, and termite and ancillary grew by 8.4%. Our residential business continues to perform well and our commercial pest control business has seen steady improvement each month since April. While we continue to manage our cost appropriately, it’s difficult to know how the revenue levels will look as we move through the pandemic with restrictions continuing to change throughout the world. In total, gross margin increased to 50.3% from 49.7% in the prior year’s quarter. The quarter was positively impacted by lower service salary expense as well as lower fleet expense through continued improvements from our routing and scheduling efficiencies. These gains were offset by higher materials and supplies cost related to our personal protective equipment inventory. Depreciation and amortization expenses for the quarter decreased $203,000 to $22.4 million, a decrease of nine-tenth of a percent. Depreciation decreased $57,000 and amortization of intangible assets decreased $148,000 as intangibles from previous acquisitions such as HomeTeam and Western became fully amortized. Sales, general and administrative expenses for the fourth quarter increased $4.3 million or 2.8% to $159.1 million or 29.7% of revenue. This was down 2.9% compared to 2019 and the quarter produced savings in salaries and benefits and lower bad debt through better collection efforts. As for our cash position for the period-ended December 31, 2020, we spent $147.4 million on acquisitions compared to $430.6 million the same period last year, which included our initial Clark Pest Control acquisition. We paid $160.5 million on dividend and had $23.2 million of capital expenditures, which was slightly lower compared to 2019. We ended the period with $98.5 million in cash, of which $71.3 million is held by our foreign subsidiaries. These numbers all include our reduction in debt of $88.5 million for the year. As you may remember, we kicked off the reporting of our ESG activities at the beginning of the year in 2020 with our first ever 2019 Sustainability Report. In March of 2021, we will produce our second addition, which will include more updates and goals in the areas that will impact our company over the next five years. Yesterday, the Board of Directors approved a regular cash dividend of $0.08 per share, which was a 50% increase in the pre-split numbers from last year that will be paid on March 10, 2021 to stockholders of record at the close of business February 10, 2021. Gary, I will turn the call back over to you.
Gary Rollins: Thank you, Eddie. We are happy to take your questions at this time.
Operator: [Operator Instructions] Our first question is from Tim Mulrooney with William Blair. Please proceed with your question.
Tim Mulrooney: Good morning, everybody. Congrats on another nice quarter.
Gary Rollins: Thank you.
Tim Mulrooney: So, okay. Only two questions, so here we go. I’m going to stick on the pricing and gross margin. So first of all, on pricing, Eddie, can you remind me just how that trended through 2020? I know a lot of folks took a pause on pricing during the pandemic. I’m curious how pricing looked in 2020 and what you guys are planning or thinking about for the next pest selling season here in 2021?
Eddie Northen: Yes. Tim, we decided to – for most of our brands, to take that same pause. As you know, typically, we will roll that price increase out around mid-year. We decided based on the current economic conditions that it was not the best time to move that forward, so most of our brands did in fact take that pause. For 2021, we do have plans to move forward with a price increase. And we would be prepared as we move forward over the next quarter or two to be able to provide more details having to do with that. But we’ve gone through our – we continue to go through the testing on the marketing side and we’re prepared for that for 2021.
Tim Mulrooney: Okay, okay. Thank you. That’s broadly what we’re hearing from others as well, so that makes sense. So, as I’m thinking about gross margin next year – and we saw some nice gross margin expansion this year, but as I’m thinking about it next year, with increases in route density from new accounts and additional M&A, plus these potential price increases, is there any reason that gross margins wouldn’t be expected to continue to expand further in 2021? I guess, are there any other considerations that investors should keep in mind when thinking about your margin?
Eddie Northen: I would, believe – and I believe Jerry and John would believe the same that we will have an opportunity to expand in 2021. We have invested, as we talked in Q2 and Q3, on our inventory of protective equipment for our employees, our customer-facing employees. Our hopes would be as we move through 2021 that that would subside and that that would be somewhat of a support for us. We continue to have good, positive momentum as we talked about a couple of times, having to do with our routing and scheduling and we’ll continue to see and reap the benefits of that. And I think to your point of the density, as commercial were to continue to incrementally get better as we’re all hoping as we move through 2021, that density will improve and make those improvements potentially even better. So we believe, we have a few different areas that would be supportive of it in addition to what we would normally do as far as our incremental improvement on a year-over-year basis.
John Wilson: Yes. Tim, this is John Wilson. And Eddie touched on a couple of things that I would have had to offer and that was the routing and scheduling in the account density piece. But related to the selling of our new accounts, you had already asked a question about the price increase that we’ll roll with, we didn’t see any back-up in our ability to get price for our new accounts. And so, we expect that to continue to grow for 2021 and that will help as well.
Tim Mulrooney: Understood. Thanks, John. Thanks, Eddie.
Eddie Northen: Thank you.
Operator: And our next question is from Mario Cortellacci with Jefferies. Please proceed with your question.
Mario Cortellacci: Hi, thanks for the time. Could you maybe update us on how sustainable you think that resi growth is at these levels? As we get into 2021, obviously, there’s going to be tougher comps and potentially as people head back to work with the vaccine, maybe you see a slightly less demand? I just wanted to get a sense for – if you think that could put a damper on 2021 resi growth?
Eddie Northen: So I would say a couple of things. One is that we don’t know what the return to work is going to look like and you’re exactly right. I mean, comping as we move throughout the year will be more difficult than what it would be during a normal year. Q1 will be a time that we’ve not lapped yet as things really didn’t make a change until the end of March. So Q1, I think we’ll probably still see what we’ve seen. As people were to return, will that reduce the demand? I think that’s kind of yet to be seen at this point. The positive for us is – and Jerry talked about this is the sale of our mosquito product. As we continue to do that, that product continues to grow at a 30% plus clip on a growing base. And probably, the exciting thing for me is that we’ve really expanded the opportunity for growth with this particular service to many of our different brands. So early on, we had a few of our brands that really were concentrating on this and this is really expanded to others. So we believe this is going to be a good residential opportunity for us as we move forward. But Mario, I think we’re all kind of guessing right now on what that impact of the stay from home is going to look at – look like as we kind of move throughout the year.
Mario Cortellacci: Great. And then, you have actually just mentioned, and I’ll piggyback off of the mosquito comment. I guess, maybe if you can talk about some of the biggest opportunities you had, it sounds like the mosquito is obviously one of them, we know about that, while we know that you guys launched the disinfectant service, would you be able to give us maybe an update on penetration on those services? And then, also, is there anything else that’s in its infancy or in early innings that we should also maybe keep an eye on?
Eddie Northen: So I would say that – I made the comment about wildlife. Our wildlife continues to grow, I think the infrastructure that we put in place over the last 2 to 3 years with Steve Leavitt, leading the charge there with our emerging opportunities group has really made a positive impact for – I’ll call it a nice add on. So we get those calls in our call center and now, we have a broader reach to be able to service those customers that have those types of wildlife needs. So I think we’re going to continue to have opportunities there. Mosquito, we’ve already talked about. In the past, we’ve talked some about bed bug. Bed bug revenue is down year-over-year. Part of that is our own decision on pricing. And looking at the profitability of that compared to us putting the energy behind the mosquito product, which is a high – much higher margin product. But then I would shift over to the termite and ancillary side and say, we have continued opportunities to grow there as we have had entered the premises in a lot of cases having to do with the termite support and then providing those ancillary services in other parts of the home. And we had good growth in these areas over the last few years and I would say that will continue to be an opportunity.
John Wilson: Yes. Mario, let me – this is John, let me add. The opportunity to couple multiple services with our current customer base is really pretty high. We have less than 20% of our customers that have multiple services. And so, when we can do that and we’ve had good success adding mosquito, what Eddie mentioned wildlife and some other things that opportunity there is there for us in 2021 to really build on.
Mario Cortellacci: Thank you for that.
Jerry Gahlhoff: I would add too, that we also had an opportunity for mosquito in the commercial sector as more and more people are eating outdoors, wanting to spend time in restaurants not being cooped up inside, we’re seeing more outside. So we have opportunity on commercial to also drive mosquito business as well.
Mario Cortellacci: Thank you so much for your time.
Operator: [Operator Instructions] And our next question is from Michael Hoffman with Stifel. Please proceed with your question. Michael, please make sure your line is not muted.
Michael Hoffman: Yes. We all have to learn about that this year, don’t we? Thank you for taking the questions. What I’d like to ask about is disaggregating the organic part of residential both in the quarter and for the year to understand the mix of new customer add as a proportion of 9:3 in the quarter and 8:7 for the year versus the cross-sell and that sort of ties into the comment of less than 20% of the customer base today has more than one service. I’m trying to understand, how much is in the 9:3 was adding a service versus adding a customer?
Eddie Northen: So I think the way that I would answer that question is, it’s kind of like the growth of our international volume as a percent to our total. We continue to add new geographies internationally, we continue to add new companies as we did most recently in Australia to our international operations, but our percent of our international to our total continues to hover around that same 7% or 8%, no matter what we do internationally, because of the growth that we have in the U.S, those numbers, they kind of stay intact. And I would just use that analogy Michael to kind of say, we’re kind of doing the same thing here. So we’re adding a significant number of new customers but at the same time, we are adding new services to existing customers. So as much as we continue to look for those penetration opportunities, it’s a good problem to have that that number necessarily isn’t improving significantly as far as those that have more than one service, because we are adding new customers each and every quarter. So we will continue once we have our foot in the door to continue to add those new services and as we’ve shared on this call before, any time we have more than one service, the likelihood of that customer retaining and staying with us is significantly higher. So we’ll continue to pursue that on that second or third or more services, but we’re also happy on the new customer growth as well.
Michael Hoffman: Okay, I just want to ask clarification there, but I want to ask my second question to make sure I can get it in. So can you help us with cadence? So everybody appreciates the way things flowed in ‘20 in total, things we ought to be aware of as we progressed through ‘21 and you alluded to, we haven’t anniversaried the negative headwinds through 1Q, but can you – without it being percentage numbers, can you help us mildly positive in one, meaningfully positive in two, and then it settles back, this is all the organic side into sort of normal course in three and four? Is that the right way to think about it?
Eddie Northen: I would say, the things that in my mind are the most impactful, and Jerry and John and Gary may have some other thoughts. The things that I would say are most impactful were Q – end of Q1, end of Q2, with our headwind of materials and supplies that occurred in 2020 that we feel will not be a headwind as we’re moving through 2021 based on everything that we know today, we feel like that we have made those purchases. As we talked about in Q3, we actually had to write down our inventory because in Q2, we purchased at a very high price in some cases to be able to get that protective equipment in place, which was the right thing to do at the time and continue to move our business forward, but we feel as though that will be a good tailwind for us, especially as we move Q2, Q3, Q4. I would say on the residential side, Mario or you asked a question on what that looks like for us. Q1, we really don’t have a account for that, because really things didn’t go south with us there until the end of March. But I think the stay-at-home from there will continue to be at play and will continue to drive demand as well as the continued concentration on the other services that we talked about. And I would think that incrementally, we may see a little bit more of a headwind on that as we move to Q3 into Q4 of 2021. However, the offset of that would be, if things are getting back to normal and if people are going back to work that would mean that the commercial product should in fact be going the other way. The commercial product should be improving incrementally as we move Q2, into Q3, into Q4 when we look at this year-over-year. So for all those times when we had investors ask us, why we didn’t concentrate only on the commercial product, and I said, I was very happy with the different products that we had to be able to sell because in diversification, I think, Michael, we’re going to see a little bit of that as we move through this that yes, in fact, if stay at home does kind of subside some then the commercial should see a good improvement as we move forward. Did that help?
Michael Hoffman: Yes, it does. Thank you.
Operator: Our next question is from Tim Mulrooney with William Blair. Please proceed with your question.
Tim Mulrooney: Thanks for squeezing me back in. I just wanted to talk about M&A for a second. So if we step back and look at the full year of 2020, can you talk about – how many acquisitions did you complete in total? I’m just curious if the pace was greater or lower relative to prior years given disruption from the pandemic or if that was pretty similar?
Eddie Northen: Hey, it was – I’m going to let Jerry and John weigh in with any specific they have, but it was similar in nature as far as the number. Our concern, of course, the 2019 number, as I mentioned, was – would be significantly skewed with our initial Clark Pest Control purchase that we made but I think the number and even taking a look kind of generally at a spread of international and of Orkin tuck-in acquisitions and others like that, I think we’re relatively in line with what we’ve seen with previous years.
Jerry Gahlhoff: That’s correct, Eddie. It’s about flat to prior year.
Eddie Northen: Okay, alright. There we go.
Tim Mulrooney: Perfect. And you have valuations pulled back at all given all this disruption or have they all kind of been on par with what you typically see?
John Wilson: Tim, this is John. They have not pulled back. There things are still pretty frothy from that side and we’re kind of picking and choosing the one who will really want to go after heart as a result of that. We want to buy really good businesses with great reputation in the market and the McCall business in Jacksonville is a – the most recent example.
Tim Mulrooney: Yes. I saw that and that looks like a good one. Can I squeeze one more in for Gary?
Gary Rollins: Hey, you get one follow-up question. So there you go.
Tim Mulrooney: Excellent. Gary, this one’s for you, do you still plan to use free cash flow to further de-lever the balance sheet in 2021 or does having some debt on the balance sheet make sense?
Gary Rollins: Well, I think we take on more debt if we had to with the right acquisition.
Tim Mulrooney: Sure.
Gary Rollins: I mean that’s been our practice. In the past, we’ve retired what – an $88.5 million just this last year. We retired $80 million of our debt, but certainly, if the right acquisitions came along, we’d incur more debt, if we add to.
Tim Mulrooney: Okay, okay. That’s very helpful. Thanks so much guys.
Eddie Northen: I do need to clarify one thing, before we turn it over to Gary to wrap up. In my statement – in my prepared statement when I talked about our quarterly dividend increasing, I think it should have been that our quarterly dividend increased over the fourth quarter dividend that we had. So if you remember back to 2020, we actually reduced our dividend from our first quarter of 2020 down for the remainder of the year. So the improvement that I mentioned should have referenced the fact that it was compared to the Q4 dividend. So I hope that clarifies and I apologize for misstating that earlier.
Operator: And our next question is from Michael Hoffman from Stifel. Please proceed with your question.
Michael Hoffman: Thank you for letting me to follow-up. And you have to keep letting the fellas from Jefferies ask it first, then I can do the follow to him. So the M&A question I had was, can you tell us what the dollar of revenue that rolls into ‘21 from deals you did in ‘20 so we get that accurate?
Eddie Northen: We don’t break that out, Mike. Yes, Mike, we don’t break that out.
Michael Hoffman: Okay. And then, the dividend, what’s it take for the dividend to go back to $0.12 a quarter, post-split?
Eddie Northen: Well, if that was the confusion, I think, partially that I just – are you saying post-split?
Michael Hoffman: Yes. So, post – I mean if you cut it from after you’d split it, it would have been $0.12. So you cut it from $0.12 to $0.08, if I’ve done my math correctly. What’s it take for you to return it back to $0.12?
Eddie Northen: I mean, the Board would have to review our current cash, our opportunities to be able to use that cash and then to pass back onto the shareholders. I mean, compared to where we were in Q4 and then we split our shares, it’s an increase from there.
Michael Hoffman: Right, thank you.
Gary Rollins: Alright. Do you see any other questions?
Operator: Well, we have reached the end of the question-and-answer session. I’ll now turn the call over to management for closing remarks.
Gary Rollins: Okay. Thank you all for joining us today. We appreciate your interest in our company and we entered 2021 optimistic about our opportunities and look forward to updating you on our progress on our next earnings call. Thank you, again.
Operator: This concludes today’s conference.